Operator: Ladies and gentlemen, thank you for standing by. Welcome to the CoStar Group Third Quarter Earnings Conference Call [Operator Instructions] And as a reminder, the conference is being recorded. I'd now like to turn the conference over to our host, Head of Investor Relations, Mr. Richard Simonelli. Please go ahead, sir.
Richard Simonelli: Thank you, very much operator, and good morning, everyone, and welcome to the CoStar Group's Third Quarter 2014 Conference Call. Thanks for joining us. Before I turn the call over to Andy, I have some really important facts for you that I believe you'll find quite informative. First, certain portions of this discussion contain forward-looking statements, which involve many risks and uncertainties that can cause actual results to differ materially from such statements. Important factors that can cause actual results to differ include, but are not limited to, those stated in our October 29, 2014, press release on third quarter results and our filings with the SEC, including our Form 10-Q for the period ended June 30, 2014, under the heading Risk Factors. All forward-looking statements are based on information available to CoStar at the time of this call, and we assume no obligation to update these statements whether as a result of new information, future events or otherwise. As a reminder, today's call is being broadcast live and in color over the Internet at www.costargroup.com, where you can also find CoStar's Investor Relations page. A replay will be available approximately 1 hour after this call concludes and will be available for approximately 30 days. To listen to the replay, call (800) 475-6701 within the U.S. or Canada or (320) 365-3844 outside the United States. The access code is 338195, and a replay will be available on our website soon after the call concludes. [Operator Instructions]. I'll now turn the call over to Andy Florance. Andy?
Andrew C. Florance: Richard, I can't thank you enough. Welcome, and thank you for joining us. I'm pleased to report strong financial results in the third quarter of 2014. The investments we are making in our business are paying off, and I believe that they will continue to drive top and bottom line growth for many years to come. Our revenue exceeded $153 million compared to $112 million in the third quarter of 2013, up 36% year-over-year, and adjusted EBITDA reached $51.8 million for the quarter. We have communicated that one of our primary intermediate goals is to reach $1 billion in revenue with a 40% margin by 2018. So we feel that crossing a $600 million revenue run rate along with a $200 million adjusted EBITDA run rate is encouraging process towards that important goal. EBITDA grew to $44 million in the third quarter of 2014 compared to $30 million in the third quarter of 2013, and non-GAAP earnings per share grew to $0.87 per share in the same period. Our annual subscription business continues to enjoy a high trailing 12-month renewal rate of 92% with 98% renewal for those customers with us 5 years or longer. Before we get into the main part of the call, I just want to give you an update on what we see out in the commercial real estate markets right now. Market fundamentals continue to improve as a new peak in total employment fuels a real need for space. The recovery in the office, industrial and retail property types has broadly supported growth in occupancy, rents and values. Capital continues to be very attracted to real estate with sales up to 8% above last year's elevated levels. Plus, additional capital is now driving ramped-up office, industrial and multifamily construction. Demand for U.S. real estate remains healthy. And our assessment is that 2015 should continue to be a positive year for real estate demand. Liquidity is strong and trading volume well above historical averages and nearly back to 2007 peaks. The apartment sector is seeing an increase in supply and solid apartment market demand, which is being fueled by low homeownership rates, more people living alone and limited first-time home buying. Apartment vacancy of 4.1% was up only 10 basis points from 4% record low 1 year earlier. Net absorption of units at 153,000 annually, which is very close to 10-year historical average. Construction deliveries have totaled 169,000 units over the past year. That's 21% higher than 1 year ago and more than 3x the 2011 level. The fundamentals are strong without a doubt, but I do worry as to whether or not a bit of a bubble is forming. Cap rates are at all-time lows and prices per unit are at all-time highs. I see more and more deals of cap rates that I would never have thought conceivable in my many years of observing these things. I'm not overly concerned that a potential market adjustment would have a significant negative impact on CoStar because demands for our products grow for many segments in downturns. Also, there's no immediate sign of anything but clear strength. I do have to congratulate our team at CoStar Portfolio Strategies, Hans and the whole crew, because they so loudly and clearly advise their clients to invest aggressively in multifamily starting back in 2009, and that was some good advice to take for sure. In the office sector, market fundamentals continued to improve in the third quarter. The national major markets average vacancy rate is close to both 2005 levels and long-term averages. Positive net absorption was solid with 23 million square feet in the past quarter and 77 million square feet over the past year. At this point, roughly 1/3 of the major national office markets have significant levels of construction. Retail is continuing a slow and steady recovery. But retailers are still opening stores, which is great news for CoStar Real Estate Manager. Retail net absorption hit 19 million square feet in the third quarter, the highest quarterly demand growth since 2008. For industrial, market vacancy and construction are so low that they may be constraining net absorption, and that's driving up rents. Now I'd like to turn to our most recent acquisition. In the 2 quarters since we acquired Apartments.com, we've made significant improvements to the website, which have resulted in more visits and more leads. We rejuvenated the entire look of the site, giving it a cleaner interface and vastly improving the user experience for the apartment consumer. We added a powerful new map-based search tool that consumers love. We eliminated excess inventory banner ads that clutter up the site. While we gave up several million dollars in revenue from these ads, we believe that we can more than make up for it in additional apartment listing sales on a more professional and cleaner-looking website. Our clients have responded positively saying that the listing ads are now the clear focal point of the pages and are presented much more professionally. We have been adding professionally produced video tours for advertised properties. We want our clients and consumers to have the best user experience on the Web in the apartment industry. We have made significant investments in search engine marketing and used our experience from LoopNet to improve search engine optimization. These efforts have contributed to significant increases and site traffic and leads. We believe that the total site visits is the most important measure of a site's consumer traffic and is the most reliable measure of lead generation for advertisers. According to comScore, with which I assume all of you are familiar, we are now #1 in total visits among apartment Internet listing services. When we acquired Apartments.com, we were not. We are thrilled to achieve the site leadership role within just 6 months of closing the acquisition. I believe that our growth in site traffic is coming at the expense of many of the sites we compete with. The most recent comScore traffic numbers available are for the close of September. Year-to-date through September, comScore reports Apartments.com total monthly unique visits have climbed 39%. And visits for our second site, ApartmentHomeLiving, have risen 15%. So comparing the month of January to the month of September, '14, we climbed 39% Apartments.com. That's great news for us. Our competitors' visits, competitors who currently enjoy hundreds of millions of dollars of revenue we don't have, went southward. According to comScore, total monthly site visits to ApartmentGuide.com fell 9%, and its sister site, Rent.com, fell 12% this year through September. ApartmentFinder.com's website visits really fell dramatically this year, losing 52% of their monthly site traffic year-to-date comparing January, September. ForRent.com, also turned in a weak performance, losing 30% of total monthly site visits year-to-date. MyNewPlace.com lost 38% of their total monthly site visits comparing January to September, most recent month. And hotpads.com lost 11%. Again, all these numbers are based upon the work of an independent third-party site-measurement service, comScore. And again to clarify, the 39% growth in monthly site visits and decline numbers for our competitors looking at September 2014 visits comparing them to January 2014 visits, however, as you look at these curves and trends, it basically is a good and accurate representation of what's occurring. Our increased traffic has resulted in large increases in leads to our clients, which are up 24% in the third quarter of 2014 year-over-year, a fantastic increase. In the past several months, we signed up new record numbers of new apartment communities. In 2012, Apartments.com sold an average of 264 new communities each month. And '13, sold an average of 276 new communities each month. In August 2014, we sold dramatically more with 455 new properties. In September 2014, we sold 497 new properties. And we believe that we can cross 500 new properties as the month closes. Is it today, Brian, or tomorrow?
Brian J. Radecki: Tomorrow.
Andrew C. Florance: Tomorrow. So I'd ask the Apartments.com salespeople not to get involved in any Halloween parties, just hit a new record. Many of these properties we're signing up were advertising on competing sites before signing on to Apartments.com. Sylvan Gardens in Philadelphia, River Bluff in Lexington and Marchmont [ph] Terrace in Cleveland, were all advertising on ApartmentGuide, and they're now advertising on Apartments.com. We are taking advantage of our superior site traffic and dramatic lead growth and seizing the green. In April of this year when we acquired Apartments.com, their revenues had grown 9.6% year-over-year in the prior year. That growth has now almost doubled to 18% year-over-year. The Apartments.com sales force is delivering very solid results. Congratulations to Brad and his team. We are very satisfied with the progress we have made. And similar to our experience with LoopNet, we believe we will continue to drive markedly improved postacquisition results. In just 30 months since the close of the LoopNet acquisition, we have achieved nearly $80 million of cross-selling revenue. When added to the over $20 million in cost synergies, we have moved above the $100 million mark in total synergies. We believe we'll continue to have significant upside for the LoopNet cross-selling opportunity for many years to come. I think it is worth noting over the past 6 consecutive quarters, we've experienced double-digit year-over-year increases in the average revenue per user for the LoopNet Premium membership while also dramatically increasing the number of paid listings by 67% since the close of the acquisition to -- we're now running over 50% of all the listings being paid. When added to successfully signing annual subscription contracts and dramatically increasing unique monthly visitors, we are very pleased with our success in the online marketplace space. The LoopNet Marketplace had 45.3 million profile views in the third quarter, up -- I'm sorry, that's 43 -- 45 million profile views in third quarter 2014, and that is up 15% year-over-year. LoopNet also reached an all-time high in unique monthly visitors with 5.5 million in the third quarter 2014, up 55% since the second quarter 2012 when we acquired the business. LoopNet Marketplace revenue for the third quarter 2014 grew 20% over the third quarter of 2013. Average revenue per LoopNet customer continues to improve. Average revenue per premium member climbed 18% to $90.28 in the third quarter 2014 compared to $76.60 last year. It's almost like college tuition. Average revenue per Premium Lister grew 13% year-over-year to $104.41 in the third quarter of 2014. When we first acquired LoopNet, we communicated that our strategy would be to eventually position the LoopNet Marketplace as the premier marketing site for commercial real estate where all listings would be paid, and it would be free to search the site. Additionally, CoStar is positioned as the pay-to-search premium information solution for commercial real estate professionals. We have made significant progress in repositioning these 2 sites into these respective roles. We've converted thousands of brokers who were using LoopNet Premium Searcher, LoopNet's information service, into CoStar subscribers. Nonetheless, we still have approximately 34,000 users paying approximately $40 million annually for LoopNet as an information service. The revenue in this area continues to grow due to price increases as the user base contracts slightly. Premium Searcher competes against both LoopNet Premium Lister and CoStar Property. It's a substitution effect between both of these -- all 3 of these products, so sort of overlapping value propositions. We believe that our clients would get significantly more value from one higher-quality consolidated information solution. Clients using CoStar as an information tool have dramatically higher renewal rates for CoStar than they do for LoopNet Premium Searcher. And they get more value from it, apparently, because they're willing to pay significantly more for CoStar Property and the CoStar Product Suite. Given the significant cost associated with maintaining similar products, we believe that it will be much more efficient to eventually offer only one information product and eventually might come sooner rather than later. We're carefully studying eliminating Premium Searcher and other LoopNet information products entirely with the intention of migrating commercial real estate professionals to CoStar information services as quickly as possible. If we discontinue these LoopNet information services, it might take 1 year or more to do so in a way that does not disrupt our clients. This wind-down might have short-term negative impact on revenue and earnings, but we believe that this will ultimately lead to significantly higher revenue and earnings in the long term, and in fact in the intermediate term measured in a sub-2-year period. We stopped selling LoopNet Premium Searcher as an automatic part of new LoopNet Premium Lister subscriptions earlier this year, and it has not materially affected the price we achieved for the new Premium Lister subscriptions or the revenue. We have also recently conducted a test in Florida where we stopped selling LoopNet Premium Searcher on our website through the E-Commerce engine. And we no longer sell LoopNet Premium Searcher as part of our outbound sales team. While the test in Florida resulted in lower short-term revenue, we believe the test showed that we can achieve much higher revenue over an 18-month or longer period by migrating clients to one information product perhaps as much as twice as much. Our investment in hiring dozens of new salespeople in the latter part of 2013 was slightly disrupted. But we still grew the business by adding over $45 million of annualized net new sales in the first 3 quarters of 2014. In the third quarter 2014, we began to see this investment accelerate sales growth as we expected it would. Annualized net new sales from annual contracts were $15.4 million, which represents an increase of 12% over the third quarter of 2013. Annualized net new sales of services from the CoStar core business were up 25% in the third quarter year-over-year. As our sales force gains more experience, I suspect that we will continue to see increases in annualized net new sales of annual subscription business. We anticipate continuing to grow our sales force into 2015 as we expand our focus on selling to firms involved in commercial real estate debt and equity investments and as we grow our Apartment.com footprint. Moving on to the United Kingdom and the work that Giles and his team is doing. Revenue and earnings growth continue to be strong since we introduced CoStar Suite in the late 2012 time period. Revenue grew 22% in the first 9 months of 2014 compared to the same period last year. Thank you, Matthew. We also achieved a $1.9 million EBITDA in the first 9 months of 2014 compared to $3.9 million EBITDA loss in the same period in 2013. So a very strong and dramatic swing in profitability. In the third quarter 2014, we have the highest-ever revenues in the U.K. The 5 highest net sales months in the U.K. have occurred in the past 16 months, including September 2014. This has been largely due to the continued success of selling CoStar Suite. Contract buys have increased an average of 35% as clients migrate to CoStar Suite from our legacy-focused service offering. We have now sold or converted over 650 clients to the new platform with only 590 FOCUS clients yet to migrate. Margins continue to strengthen as we proactively wind down the lower-margin legacy services and we look to eventually discontinue them completely in the not-too-distant future. I'm very pleased with our success in United Kingdom as this remarkable turnaround demonstrates the power of CoStar information services outside the United States. One important area that is one of our intermediate-term strong potential growth areas is our businesses for sale websites. We operate BizBuySell.com, the Internet's largest Business-For-Sale marketplace; and BizQuest, the second. We recently announced our ranking as the clear industry leader in terms of usage, buyer responses generated and overall satisfaction according to the Business Brokerage Press 2014 industry survey of hundreds of business brokers across the nation. BizBuySell continues to be the most commonly used Business-For-Sale marketplace with 82% of surveyed business brokers saying they use BizBuySell to market their businesses for sale listings. This is the eighth straight Business Brokerage Press survey that BizBuySell.com has taken the top spot. Our second site, BizQuest, was second with 67% of brokers using the site to market businesses for sale. All other national listing exchanges were used by less than 50% of business brokers. These sites are important to us because often business brokers are also commercial real estate brokers. Surveyed brokers, again, credited BizBuySell.com for generating the highest percentage of buyer responses reporting that 39% of total buyer responses received are from BizBuySell. BizQuest.com was second with 13% of buyer responses. Together, BizBuySell and BizQuest were reported to account for more buyer responses than all other competing listing sites combined in the survey. Revenue from these sites grew 13% year-over-year, and EBITDA from these sites grew 40% year-over-year. Turning to Toronto. We're seeing very strong early sales success in Toronto with our launch of CoStar Information and Analytics services earlier this year. The rate of growth in the industry, we believe, far exceeds the rate of growth of any of our competitors and is above our historical benchmarks. When we first got to Toronto, many firms asked us what took us so long to get there. Now many of them have told us they would like to buy more from us if we would expand our coverage to the rest of Canada. As a result, we're listening to that feedback, and we're responding, and we've begun hiring researchers to cover Vancouver, Montréal, Ottawa, Edmonton and Calgary. This is a natural extension of what we're already doing and provides an opportunity for us to penetrate the entire Canadian marketplace. We believe that the overall Canadian market represents hundreds of millions of dollars of opportunity for CoStar. You may have heard that, recently, Forbes Magazine recognized CoStar Group as one of the world's most innovative growth companies. We were ranked #27 on the list of the top 100 innovative companies in the world. CoStar also placed in the top 10 among Forbes' top software and service companies. Our team is extremely proud to be honored by Forbes, and I believe that it's a testament to the innovating spirit of the people of CoStar. I can tell you that our team works extremely hard, innovates continuously, works Sunday and is committed to excellence. Our product designers are subject-matter experts. Our developers, economists, researchers and many others have been justifiably recognized as leading innovators on a worldwide stage. We continue to look for more ways to enable our clients to unlock the value of our superior information and marketing offerings in our large and active communities. During the past 4 quarters, we've been investing in, and we're hard at work on many technology initiatives for the flagship CoStar Suite. We have developed and rolled out 6 releases to CoStar Suite throughout 2014. These releases include a Canadian version of CoStar, a U.K. version of lease analysis, responsive design, tighter integration between our Web CoStar and our mobile product, CoStarGo, a more robust presentation of information in CoStar and a U.K. reporting module. One of the most significant releases we believe that we will complete this year is the integration of CoStar portfolio strategies into CoStar Suite, creating a unique and very powerful new product targeted at owners and lenders. One of the biggest stumbling blocks to acquiring institutional customers who wanted to subscribe to both CoStar Suite and CoStar Portfolio Strategy was the user interface. Up until now, users had to access different websites and use different log-on procedures for the CoStar Suite and CoStar Portfolio Services. So I'd use one site to see the 30,000-foot view of the market, and I would use another site to see the street level view of the market. This is -- this new product puts them all together in one system. During the fourth quarter 2014, we plan to offer a fully integrated website called CoStar Market Analytics with this single sign-on password. This will integrate the granular data in analytics of CoStar Suite with the forecast and analytics of CoStar Portfolio Strategy. We believe this will be a boon to clients and allow us to more easily sell to other institutional prospects, owners, lenders on both the local -- predominantly local, but also and national stage. We believe the change will have significant positive effect on revenue and margins over time. And I can't get -- wait to get out and sell the product. We believe these advances in the CoStar core will allow us to penetrate the U.S. and international markets even more quickly. In particular, we expect to see accelerating sales to owners and lenders. In the first 9 months of 2014, CoStar Portfolio Strategy has already generated its highest net new sales since we acquired it in 2009. In order to respond to some of these demands, in order to expand the quality and breadth in coverage of information services we offer to owners, lenders, institutional clients, and in order to expand the number of markets we cover in Canada, we've begun our to make an investment in hiring more researchers. We've already hired approximately 150 additional researchers so far, and we expect to hire a total of approximately 250 to 300 new researchers overall. Update you briefly on CoStar Real Estate Manager. We've got great positive sales momentum continuing there, and it reached its highest-ever monthly net new sales level in September 2014. Significant new customer additions include ABM industries, Tumi, Godiva, Hanger, Crown Properties and First Citizens Bank. Existing customers also expanded use of CoStar Real Estate Manager modules, including significant additions for Charles Schwab, DaVita Healthcare and Genuine Parts. We are making significant progress with our development plans to provide powerful CoStar data for our CoStar Real Estate Manager customers delivering what we believe will be an unmatchable offering in the retail and corporate real estate management software space. The combination of our talented, passionate employees and commitment to innovations is leading to excellent results and opening ways for CoStar to capture highly profitable revenue. We plan to continue to build upon our leadership position to provide an even better platform that will enable our customers and users of our service to benefit. We are making critical investments in all aspects of our business, and I see 2015 as a pivotal investment year, which will strengthen our platform as we remain intensely focused on our goal of becoming a $1 billion revenue company with 40%-plus margins in 2018. I will now turn the call over to Brian Radecki, our Chief Financial Officer.
Brian J. Radecki: Wow. Hold on, you guys, I need to help Andy get the oxygen tank turned on. Hold on. Hear, Andy. Here you go.
Andrew C. Florance: I'm only 92.
Brian J. Radecki: So I have a stopwatch in front of me from Rich, so I have to go fast. But the problem is, is that legal keeps extending my script. So if I read fast through parts of it, those are the parts that are very repetitive but, apparently, very necessary. As Andy mentioned, we're very pleased with our performance in the third quarter of 2014. CoStar Group's organic business continues to show solid top line growth, and EBITDA margins continue to expand while making great progress integrating Apartments.com. The strong year-to-date performance has created an opportunity for us to further invest in our core proprietary data and information assets. We have begun to do so, and we will continue through to 2015 to accelerate future revenue growth. Starting with CoStar's results for the third quarter 2014, the company reported $153.1 million of revenue, an increase of 36% compared to the third quarter of 2013. On a pro forma basis, our year-over-year revenue growth accelerated to 13.9% for the third quarter of 2014 versus the pro forma third quarter of 2013 adjusted to include Apartments.com revenue. EBITDA increased to -- $13.9 million to $43.7 million in the third quarter of 2014, up from $29.8 million, or 47%, for Q3 last year. We reported adjusted EBITDA of over $50 million, $51.8 million to be exact, for the third quarter of 2014, which is an increase of $14.1 million, or approximately 37%, compared to the third quarter of last year. Non-GAAP net income for Q3 of 2014 was $27.9 million, or $0.87 per diluted share, which is a 38% increase in the -- from the third quarter of 2013. Gross margin was $112.1 million for the quarter or 73.3% of revenue. This is an increase from 71.8% of revenue in Q3 of 2013 reflecting the continued strength of the business model. Reconciliations of non-GAAP net income, EBITDA, adjusted EBITDA and all other financial measures discussed in this call under GAAP basis results shown in detail along with definitions for those terms in our press release issued yesterday are available on our website at www.costar.com (sic) [www.costargroup.com]. And if you have any questions, just email jcoleman@costar.com.
Jonathan M. Coleman: I see some real love here.
Brian J. Radecki: Jon is sitting right next to me if you guys can't figure that out. We had words this morning. Cash investments of $507.3 million as of September 30, 2014, an increase of $40.8 million since June of 2014, which -- was driven by the largest quarterly cash flow from operations in our history. Short and long-term debt totaled $390 million. Cash investments, along with the undrawn $225 million revolving credit facility, remains available. Now I'll give some additional color on a few metrics to highlight our strong performance in the third quarter of 2014. As Andy mentioned, we achieved $15.4 million in net new sales of subscription services and annual contracts in the third quarter, an increase of 12.1% over the third quarter of 2013. We're really pleased to be driving double-digit growth in net new sales again in light of the significant changes we made and initiated in late 2013 and the first half of 2014. We expect to carry good sales momentum into the fourth quarter this year and beyond throughout next year, but I should note that we recorded $15.8 million in net new sales and renewal contracts in the fourth quarter of last year. This is a strong performance, and it did include 1 large deal for approximately $1 million of annual contract value. We don't guide or project sales numbers, but internally, we plan to evaluate the sales growth in the fourth quarter not including the large deal. We have approximately 516 salespeople across the company, of that, 220 are U.S. CoStar field reps, which is up from 172 1 year ago, and 128 are Apartment.com field sellers, up from 80 at the same time as the acquisition. Additionally, we have 108 inside sales reps across CoStar, Loop and Apartments, 20 field reps in the U.K. and another 40 across all of our other businesses. Revenue from subscription services on annual contracts was $99.4 million in the third quarter of 2014 or about 65% of total revenue. For the trailing 12 months ended September 30, 2014, subscription revenue from annual contracts was $373.4 million, up 20% from the 12-month period ended September 30 of 2013, reflecting our continued success in growing the annual subscriptions faster than our other revenue streams. The growth in annual subscription revenue has remained at approximately 20% for the past 5 quarters. This is an important metric for us. Apartments.com revenue for the third quarter of 2014 was $26 million. Through the end of September, we achieved $6.4 million in rev synergies by expanding the presence in market that used to be serviced by the newspapers. As Andy mentioned, our sales force did an outstanding job of converting this opportunity into direct revenue more quickly than expected by the end of the third quarter, and this effort is now largely complete. Our previously published revenue guidance ranges and outlook plan for the successful transition of these markets over 3 or 4 quarters, therefore, we're able to seize this opportunity faster than anticipated, which did help contribute to the strong quarterly results. As we move forward, we'll continue to refine the metrics that we've been providing for the businesses as things change and continue to evolve. Now I'll discuss our outlook for the fourth quarter and full year 2014. Our guidance takes into account recent trends, revenue growth rates, renewal rates, which all may be affected by economic conditions in the commercial real estate market, overall global economy, among other things. Thank you, Jon. We do not attempt to predict foreign currency exchange fluctuations. Our guidance assumes little or no volatility at the current rate. Actual results may vary materially from those estimated. And if you can't see that language, just get your magnifying glass. We're providing outlook to reflect our current expectations as of today, October 30, 2014. As I know is a big surprise to everybody, we are raising our revenue and earnings guidance for 2014 based on strong financial performance through the first 9 months of 2014. This increased revenue outlook incorporates our performance to-date while also accounts for upcoming seasonality in our LoopNet and Apartment businesses, which are typically down in the fourth quarter compared to the third. For the full year 2014, we now expect revenue in the range of $572 million to $574 million, an increase of $5 million at the midpoint of revenue range compared to our previous guidance. We have already begun to reinvest some of our favorable year-to-date earnings to expand the research efforts to support our owner, institutional investor, customer verticals to support Apartments.com and to prepare for expansion into Canadian markets in 2015. We are well underway with this research expansion. Thank you, Frank Carchedi. And as Andy noted, we have over 150 incremental headcount so far, which could expand to 250 to 300 by next year, which will impact cost of revenues and gross margin. We expect the impact of the research investment to be $4 million to $5 million, or $0.07 to $0.09 of non-GAAP net income per diluted share, in the fourth quarter of 2014, which will translate to approximately $20 million to $25 million in investment for 2015. For the fourth quarter 2014, we expect non-GAAP net income per diluted share in the range of approximately $0.85 to $0.89 based on 32.2 million shares. We are making these investments now, which we believe will drive increased revenue and earnings in 2016, '17 and '18, obviously, helping us to get to our goals. We are now -- we now expect non-GAAP net income per diluted share in the range of $3.22 to $3.26 based on 30.6 million of diluted shares, an increase of approximately $0.16 at the midpoint compared to the previous published range. This is really a testament to the strength of our business model that we're able to absorb the increased level of investments and still raise our guidance range for the fourth quarter and full year 2014. As discussed with Andy earlier, we are evaluating weather to migrate the LoopNet Marketplace to a pure marketing site where it would be entirely free to search. Similar to the test we have already been running in Florida for the past half month or so, which has had a small revenue impact. The current annual revenue for LoopNet's Premium Searcher and information service is approximately $40 million annually, which consists mostly of monthly contracts. We expect a conversion of the LoopNet Marketplace model throughout 2015 to reduce revenue and earnings in the short term, could be approximately $10 million to $15 million primarily in the first half of 2015, but we remain very confident that these actions will be accretive over time as we expect to convert any of these clients to higher-value, more-profitable annual subscriptions. Essentially, we believe this is a timing and transition process. We are still in the process of building out our detailed budget and operating plan for next year at a high level, but I expect revenue trends to be impacted by the repositioning of LoopNet as well as the full year impact of our decision to discontinue some noncore services at Apartments, which we've discussed. We believe the full year impact of Apartments revenue compared to -- in 2015 will be in the $4 million to $5 million range. Obviously at this point in our budget process, which is really just begun, I'm not yet in the place to publish an external guidance range. But when I look at the current published consensus assessments of approximately 6 70, I don't believe people have factored both of these items into the model, which I plan to in my model. Essentially combines about $14 million to $20 million of lower LoopNet and Apartments revenue in 2015 "in the short term," as we eliminate and reposition certain services, which we believe will ultimately lead to higher revenue in 2016, '17, '18 "in the longer term." But we are still working through our strategy for repositioning of LoopNet, and the financial impact may change. Hopefully, this gives people something to model until I give out a more detailed 2015 guidance in our next earnings call. But I'd also like to make a couple comments about the quarterly timing as we approach the end of the year. As those of you who have followed CoStar for a long time know our earnings are almost always seasonally down in Q1 compared to Q4. I look back 10 years and only twice in that period did the earnings increase quarterly -- sequentially in the first quarter. I don't expect 2015 to be any different. I think in Q1, they'll be down. Our new research investments will continue and could expand in Q1 and other -- also in addition to normal items in Q1 like we do pay raise increases for the entire company. We seasonally have higher payroll taxes, and we have our annual sales conference. Those of you looking ahead should assume a drop in Q1 of earnings of approximately $0.06 to $0.09 in the fourth quarter. This is essentially mechanical. That's what happens every year. In summary, I'm very pleased with CoStar's financial performance for the third quarter of 2014. Our strong cash flow profile is allowing us to continue to invest and grow earnings at the same time. While we finish up with 2014 and plan out 2015, which is shaping up to be an investment year, we continue to believe that the consolidated company is operating in a market of $6 billion to $7 billion revenue opportunity potential, and that the investments we are making in our core research and sales functions will drive accelerated revenue growth and margin expansion in 2016, '17 and '18. I remain confident we can deliver the low to mid-teens revenue growth rates for many years to come needed to achieve our long-term goal of $1 billion in annualized sales in 2018 at a 40-plus percent adjusted EBITDA margin. As always, I look forward to sharing that progress with you these goals in the coming quarters. And now I'll open it up for questions. 12 minutes.
Operator: [Operator Instructions] Our first question from the line of Andre Benjamin with Goldman Sachs.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: First question is regarding the organic growth. Is there a way that you can potentially break that out versus the acquisitions growth for Apartments this quarter and similarly, if you could slice it one more way, maybe the growth for the entire core platform, excluding both LoopNet and Apartment, just so we can understand how those 3 buckets are growing?
Brian J. Radecki: Yes. I mean, I think, I basically gave people the exact number. If you included a pro forma of Apartments, year-over-year was 13.9%. Apartments was growing last -- when we bought them at about 10%. Now it's growing at 18%. That's probably higher than normal because some of the conversions that we talked about. But I think in general the entire business is sort of growing in that 12%, 13%, 14%, 15% range with some pieces growing higher and some pieces growing lower than others.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: And on the incremental investment spending that you talked about, I know you don't have guidance yet, but how should we think about that spend plus the existing costs both fixed and variable in terms of margins? Again, I know you called out a couple individual line items but just directionally, should we be thinking flattish margins, up or down, just directionally?
Brian J. Radecki: Sir, yes, I mean, I think you can calculate it. I mean, essentially the $20 million to $25 million is all going to be your cost of sales. So, obviously, you can look at sort of what run rate -- where we're at this year. And if you add that for next year, I didn't calculate it, but it's probably a couple percent on gross margin. And then again, once you ramp up the headcount, then you'll have a basically a suppressing of margins for 2 or 3 quarters as we ramp up headcount. And then they should continue to grow again after that. We've already begun that process, so I think we already have 150 people here, and that's really been within the last 3 or 4 weeks. So you'll see that impact in the fourth quarter gross margins. And then it will continue into the first quarter and probably a little bit into the second quarter as we basically fully ramp up the hiring. So I would expect pressure on the gross margin line for 2 quarters possibly 3. And then I think it goes back to sort of as looked at it prior at a growing -- whatever it was growing, up 1%-or-so a quarter.
Andrew C. Florance: And we're also considering some incremental marketing investments to look at the mix that we're addressing. So these are all different factors that would give you that same [ph] result.
Operator: And we'll go next to Andrew Jeffrey with SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Brian, I think you've redefined fast talking. Pretty impressive stuff.
Brian J. Radecki: Thank you.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: When I look it kind of -- forgetting the ins and outs and the timing of some of the investments you're making in some of the product transitions that you're talking about, Andy, you talked about this sales force productivity platform combined with new products and the combination of CoStar Suite and Analytics, I guess. When I think about the sales force productivity, which is ramping, and the power of a single sign-on, as we move past this sort of products we transition that's taking place at LoopNet and Apartments and you think about the sales force becoming more productive, is it reasonable to think that as we head into '16 perhaps, the organic revenue growth could even accelerate beyond the mid-teens level that you're seeing today sort of despite these moving pieces?
Andrew C. Florance: Sure. I feel very good about all these pieces coming together. Obviously, they're coming together in a pretty large scale, but there is a very nice dovetail between debt and equity, Apartments.com products, both in marketing and information, and traditional business. One of the nice things about Apartments.com is it's giving us additional scale in order to justify a deeper, stronger footprint at the local level, and it gives us additional relationships into people that may own a series of apartment buildings in Richmond, Virginia, but they also own some office buildings, just in recent retail properties. So it's just increasing the scale of our distribution channel, and they're all interconnected. Very little of it's disconnected. So it's -- and in particular, when you look at things like the LoopNet customer base for information was historically stronger in areas where we didn't have as much scale and we didn't have as active a field sales force. With the merger with Apartments.com, we are building a much stronger combined sales force down into tertiary markets and secondary markets in the United States, which are still huge markets. So it's a lot of work to put these pieces together, and you do get some frictional bumps here and there as you should do it. But it looks very, very positive for the story that you'll be able to -- we hope we'll be able to communicate in 2015 will be directionally clear that could lead to something more impressive than the teens.
Brian J. Radecki: And just to add onto that the, so -- I mean, clearly, we're -- there's a lot of moving pieces in '15. It's an investment year and sort of a pivotal year with a lot of pieces moving. So I think we both believe '16 growth rates can be higher. The only thing I would just caution everybody on, and I hate to always be the guy to say that, that we plan on growing and accelerating growth and through the sales force and all the initiatives that we're doing, but remember, you lose about 1.5% to 2% every year at the size that we're at. So we 100% have to generate more and more dollars from all these products and services in order to continue to maintain and be in that 12%, 13%, 14%, 15% range. So I agree with what Andy said, I just want to add that there's a mechanical modeling thing that you have to just be aware of.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Are there any sales force sort of characteristics, individual salesperson characteristics or skill sets that you think you need as the business transitions that you don't have already in house?
Andrew C. Florance: Well, for sure. I mean, the people we've got, there are -- as we grow, there are a number of very diverse roles within our sales force. So like in a Washington, D.C., you've got farmers who are dealing with our major-market customers. So we have 150 customers represent a disproportionate amount of our revenue in Washington. So it's farmer customers, their ability to maintain those relationships. We have debt and equity farmers, debt and equity hunters. We've got -- now we've got the general sales force dealing with the core of the business and then Apartments.com, farmers and apartments.com hunters and management levels in there. So we are able to find lots of good homes for the salespeople we've got. The kinds of things we're looking to probably build are management roles with that sort of thing we love to find where someone is good at selling lead generation and information or at marketing and information. The good news is that over 100 of our traditionally information-focused salespeople on the CoStar side have proven their ability to sell significant amounts of advertising revenue in the past year. So we're getting a sales force now that can really be multifunction, play multiple roles, bat left or bat right. So it's an important thing. We're definitely, definitely tweaking it, structuring it and looking for some new slots. We're very happy with the core we have.
Operator: [Operator Instructions] We'll go next to Sara Gubins with BoA Merrill Lynch.
Sara Gubins - BofA Merrill Lynch, Research Division: It was a very solid net new sales number. But I'm wondering what LoopNet sales were like during the quarter given 25% growth and core CoStar?
Brian J. Radecki: Yes. So the LoopNet sort of an annual contract sales were down a little bit compared to last year. Prior to that could be some of the things that we're tweaking. We are tinkering with it and testing various things, which I think we talked about pretty extensively on the call. So we are looking to transition LoopNet to a pure marketing solution. So I think that will probably have some impact for the next few quarters. But I think, overall, very strong quarter overall for the sales group and, obviously, for the core CoStar.
Andrew C. Florance: We also have minor impact from significantly increasing our credit card security level. And then -- which caused credit card expiration changes and the like in our billing, which had some temporary impacts. But the net -- it's a net positive because we dramatically increased our security level on [ph] credit cards.
Brian J. Radecki: And I think -- and one more thing that just come to mind, Sara, which I think we've talk about prior is that as you take an entire contract base of $80 million or $100 million or whatever it was when we bought it, which there was no annual contracts and will -- in the longer term go through a similar thing with Apartments, and you start successfully moving them onto annual contracts, that's a huge deal to have somebody renew on the annual contracts. But what that does happen is as you start getting to the bulk of them, where now we're at 40%, 50% of them is, as you start getting even at a 90% renewal rate, you start getting those cancels in there, which will affect that sort of -- some of those numbers. So again, I think, all positives. I think things are all moving in the right direction. We're really happy with it, but there's 2 or 3 things that I think affect it.
Andrew C. Florance: And when you're feeling that things are pretty solid, we are making some choices to do some things that are the right decision for 9 months out but are not the right decision for this month.
Operator: And we'll go next to Brandon Dobell with William Blair.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: I guess, given where the kind of the implied EBITDA for next year would go, if we would build into the model, the lower revenues like you talked about, Brian, and the spending, the implication is the ramp exiting '15 towards the 40% margin is a -- I wouldn't call it a vertical -- straight up vertical, but it's going to be pretty close to get from where we're going to finish the year to that 40% run rate by the end of '18. Maybe some color on how we think about the -- you're guys confidence in hitting that ramp or the drivers for what should be and then the incremental margins that probably have to be in the 80s or 90s to get from the exit of '15 up to '18, 40% EBITDA margins?
Brian J. Radecki: Sure. Yes, I have a lot of confidence, Brandon. And I think if people want to know the price, you brand it?
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Not really, no.
Brian J. Radecki: If people want to know why, just look at the past 2 or 3 years. So it's funny. We talk about dropping $0.70 to $0.80 in the bottom line and for the past 2 or 3 years, people keep telling me it's been 100% to 110%. So I think if you look at the past 2 or 3 years and even though 2015 is turning out to be an investment year, I think if you look at the ramp the last 2 or 3 years, it will show you that you can get there by 2018, I think, very confidently. The investments that we're making are core investments in areas where we have so much experience. I mean, I've been here going on 18 years. Andy has been doing this 25 years or maybe even longer. He's getting mad because I'm not giving him credit, okay, 30 years. No, I'm sorry, 40 years, he was doing this when he was in grade school. So like going into Canada, obviously, is a decision that we need to do. But like -- we've been expanding in the markets time and time again. Look at the success all across the U.S. Look at the success in the U.K. So we have tons of models on this. I mean, we're -- I just -- I have an awful lot of confidence because a lot of the investments are going into places that we know, we know very well, and we model very well, and I have a lot of confidence in having the ability. I think the core model can drop $0.70, $0.80 to the bottom line. Obviously, we can tweak levers very easily to make it even higher at different points. So I think making the investments in '15 really sets us up really, really well for '16, '17 and '18. I feel good [ph].
Andrew C. Florance: And we have the ability to clearly communicate what's happening throughout the year in 2015. And I would -- you've been watching this company for a while, and there are multiple cases where you make an incremental investment in some researchers and then you come out of it. And I was always surprised at that trajectory. And for example, when you look at the United Kingdom this quarter, revenue growing 22% in the first 9 months of '14 and EBITDA at $1.9 million in the first 9 months compared to negative $3.9 million in the same period in 2013. So that's the kind of -- after you've made some of those investments, you get this sort of slingshot effect.
Brian J. Radecki: Hockey shot. Hockey is coming out of him.
Andrew C. Florance: So the slingshot is exactly what we're going for. [indiscernible] impact. Just fire it up.
Operator: We'll go next to Phil Stiller with Citi.
Philip Stiller - Citigroup Inc, Research Division: I guess I wanted to ask about the sales force. Obviously, nice to see the year-over-year comp turn positive here in the third quarter, and I know you're not giving guidance on this and there's a comp issue in the fourth quarter, but maybe, I guess, you could share kind of what your longer-term expectations are for eventual bookings growth once the sales force matures? And also perhaps you could share what the turnover has been given the amount of hiring you've done over the past 18 months.
Andrew C. Florance: Do you have specific turnover numbers?
Brian J. Radecki: I can do anecdotal. Yes, I mean, I think it's been pretty good. I think it's actually -- it's sort of about where we were modeling, somewhat lower, I think, for the newer group you're sort of in the 30% to 40% range. I think the groups that have been there for over a couple years continues to be in the sub-20s. So I don't think -- from our models, and I know we talked about this in the past, I think the turnover is pretty consistent to what we were expecting. And as far as like -- we don't really guide on it, but I think we've talked about this. When you hire that many people, it's not that you drop another 150 people in 1 month and then they all mature at 1 month. They come in at 20 per class, 15, 20, 25 per class over months and months and months, and therefore, they mature over months and months and months really over like 1 year. And then if you lose 30% to 40% the first shot round and then you eventually get that next round 20%. Then you're sort of backfilling again. So it's really a 2- or 3-year process when you do this. And so my expectation, and then Andy can talk about his expectation, is that, obviously, you would have solid bookings growth really throughout the year. Like, I don't expect a big spike up or a big spike down. I think it's going to be pretty consistent throughout the year. And Andy, I don't know if you want to add to that.
Andrew C. Florance: Yes. And so my impression is that our turnover rates are better than the longer-term averages right now, especially where it matters the most, which is the experienced salespeople. The -- I anticipate getting a significant increase in productivity on the Apartments.com side. So I can look at -- and you can see that in the sales -- in the unit production numbers I just gave you. So when you look at what they were doing last year, what they're doing now, we're seeing a continuous trend of productivity improvement there. I am, again, very excited about being able to build a much stronger, deeper sales force by being able to link up some of the work the Apartments folks are doing with what the CoStar folks are doing and layering in a much stronger debt and equity component. So these are -- will be moving towards some higher-dollar sales numbers. And so I like those trends, and I think that gives you upward pressure on productivity. Also, as we consider ways to discontinue lower new low-priced information products with lots of buy it for 4 months, turn it off for a month, buy it for 4 months, turn it off. When you discontinue those sorts of products and move people into higher-value longer-term products, that would also feed our sales force with a huge volume of highly qualified leads. So that also drives productivity up. So there's some heavy lifting to do culturally and strategically with merging together these 2 large sales forces, but I believe that we'll have that done by mid next year, and they'll be really hitting some high productivity.
Operator: And we'll go to Brett Huff with Stephens.
Brett Huff - Stephens Inc., Research Division: Two questions -- or actually 3 quick questions from me. One is how should we think about your -- before you had given kind of a '16 -- 2016 goal, I think you were recalling it. Are we now just using the '18 -- 2018 goal? Is that the focus at this point?
Brian J. Radecki: Yes, I mean, I think that after the Apartments acquisition, we just sort of set the '18 goal out there, which everybody can calculate sort of the CAGR, and it's a fairly reasonable CAGR, compound annual growth rate, in the low to mid-teens between now and then. So I think we feel pretty confident about the 2018 goal.
Brett Huff - Stephens Inc., Research Division: Okay. And then of the spending, at least the way I understood on the -- in the press release last night, was that the $20 million to $25 million would include researchers, Apartments.com spend and then some more accelerated debt and equity sales folks. It sounds like the -- based on what I'm hearing today on the call is that it sounds like it's mostly researchers. But if there's other stuff in there, can you give us a little sense -- Andy, I think you maybe you mentioned some advertising, and if it's Apartments.com, is it advertising? Or is it more website work or whatever? Because I think folks are asking us about the level of advertising spend needed for Apartments.
Brian J. Radecki: I'll start it and Andy can jump in. So the majority of it's research. We're going to add probably 300 researchers so people can calculate that. We're also in Canada, expanding across Canada. There's some governmental datasets and some other things that are very expensive that we need to get. So I would say the vast majority of that is research. And so whether it's research for debt and equity or research in Canada, it's sort of spread across all those would be the majority of it.
Andrew C. Florance: Yes, and there is some increase in sales, not it's more filling in infrastructure and a lot of the debt and equity roles will be filled by existing salespeople, I think, will perform fantastically in those roles. It's more filling in management infrastructure, some player coach roles and smaller team size and more markets. It might include more field sales offices. It would include some marketings -- incremental marketing spend, which we're continuing to evaluate right now what the right level is. Software is going up slightly, but we're really doing it with the team that we have with Apartments.com and with existing LoopNet, CoStar teams, are, I think, doing a great job at handling the workload right now and turning in a great performance. So it's a little bit. But -- that's what we're thinking about it.
Operator: And we'll go to Michael Huang with Needham.
Michael Huang - Needham & Company, LLC, Research Division: So just a question on Apartments.com. I mean, great to see that you signed up more communities, but I was wondering if you can share with us how the size of these communities are comparing with those that were being acquired in the past. I mean, obviously, you've seen some gross in units [indiscernible] I was just wanting to find out whether or not they're apples-to-apples. And then with respect to the progress on selling CoStar information into back into the Apartments' customer base, I was wondering if you could give an update on that.
Andrew C. Florance: Sure. So the accounts we're signing up now are basically identical to the accounts we've been signing up historically, so it feels very similar. And they tend to be in communities that are 120 units or larger. In 2015, we're going to expand our efforts to work the whole spectrum from 20 units plus with some various product offerings. So it feels very similar in apples-to-apples. The -- there is progress occurring on selling information into the Apartments.com audience. It does seem like every single meeting I have with any prospective client for Apartments.com advertising turns the conversation to information pretty quickly. So there seems to be clear demand from my experience, and I've actually gone into some small apartment owner-developers in some small cities, and I keep running into the fact that someone else from the office has just bought CoStar Property and I was there to see them about Apartments.com. So it appears to be working, and we're lining up, frankly, we're doing this, we're lining up a significant launch effort in the first part of next year. So we're trying to sort through a concerted push with some significant improvements to CoStar property in 2015. So we're not -- I'm holding off pushing the sales force aggressively into that space until the first quarter, until we can give them a couple more tools in the toolkit and get them fired up about it.
Operator: And we'll go to Peter Lowry with JMP Securities.
Peter Lowry - JMP Securities LLC, Research Division: One quick question. Have your outlook and expectations for the performance of the debt equity team increased since last quarter? Or are they just meeting high expectations?
Andrew C. Florance: I would say expectations are definitely increasing across the board: U.K., Canada, U.S. Definitely increasing. For all the salespeople out there listening every single time we hit a number, the expectation always goes up.
Peter Lowry - JMP Securities LLC, Research Division: That's okay. Co-commissions.
Andrew C. Florance: Exactly. Yes, so it feels like it's just a really solid area for us.
Operator: We have a question from Bill Warmington with Wells Fargo.
William A. Warmington - Wells Fargo Securities, LLC, Research Division: So I got a couple of questions for you. The first was just to doublecheck the organic growth calculation. It's looked like -- if you gave us pro forma of 13.9%, I just want to make sure I'm using the right level for Apartments.com, historically. It looks like about 22%, 22.1%, and that would put you right about 26%, 26.1% for...
Brian J. Radecki: Yes, I think you're close. I don't know the exact number, but the exact calculation is 13.9%, so you can back into that, so it's like 22.5% or something like or 22.4% on a pro forma basis for them last year.
William A. Warmington - Wells Fargo Securities, LLC, Research Division: Right. And then that would imply for CoStar without Apartments growing at about 13%, 13.1%. Does that sound about right?
Brian J. Radecki: Yes, I think, it's somewhere around there, plus or minus.
William A. Warmington - Wells Fargo Securities, LLC, Research Division: Okay. And Andy, for the EBITDA margin, 2014 -- 2015 versus 2014, are we thinking that, that margin is likely to be flat, up some? I'm just trying to get a sense directionally whether we can expect...
Brian J. Radecki: Yes. I mean, I think -- I mean, I'll try to simplify it. I mean, I didn't -- I'm not really coming out with guidance right now. I mean, the reality is we just started a -- I mean, I'll give you some commentary. The reality is we literally just started the detailed budget and operating plan process, which will be presented to our board in December. So it's kind of I don't really want to get out there. And obviously, when you look at all the projects, there's a lot of moving parts, there's a lot of things we're testing and analyzing or hiring researchers. So there's a lot going on here as most people know and expect. So I mean, I'm not really prepared to give a goal. My just [ph] view is that -- I mean, obviously with everything going on 2015 is sort of an investment year. I really think it sets up '16, '17 '18 really, really well. I tried to give people some of the pieces. I mean, obviously, you guys didn't have $20 million to $25 million investments into mainly research in the model. I don't think people were expecting us to expand to Canada. Obviously, we took this opportunity to make that decision. So what I would do is just go through, and I'd sort of look at sort of -- again, whatever your models, the consensus models, and I would just make sure that you're adding in these new things that we've talked about. And I don't know what that adds up to because I haven't actually -- like I said, I'm just going through the process now. Obviously, there's going to be more investments next year than people -- than we're talking about prior. But I think it sets us up very, very nicely. The stuff with for LoopNet, I mean, obviously, we're -- that could very -- is to what could happen there. But I view that as sort of a transition process sort of an in and out. What will impact us in '15 will come back to us by the time we get to '16, '17, '18. So really, the more permanent cost structure will be the research, and again, I feel great about that because we've been doing this for a long time. We've entered a lot of cities, and we got a lot of confidence, and we know we'll be making a lot of money come a few years down the road.
Andrew C. Florance: And I do have to say that all these decisions, right now, when you look at how the company feels right now, I feel like we have never had a stronger capability in the teams, albeit systems, research, economics, sales, finance, all different components are incredibly strong right now, and the opportunities are significant, and the cohesiveness is good. So I feel like we have a very strong engine and some tailwinds, so we're running it flat out, frankly. And so we're just running every single element. But I really like the get 2-for-1 sort of efficiencies we're getting. So that when you're pursuing a revenue opportunity in the apartment space, you are, for free, driving a revenue opportunity in the information space in the debt and equity side. So we're basically, that's where we're pursuing it, and the decisions that, obviously, for competitive reasons, we can't discuss every single detail and because we're still formulating the budget, making some decisions, you can't formulate every single -- you can't discuss every single decision. But I'll tell you that the decisions are not difficult to make. They're clear. So we feel pretty good about it right now.
Operator: And I'll turn it back to our speakers for any closing comments.
Andrew C. Florance: Well, I definitely appreciate everyone joining us on the call. I apologize for the friction between Brian and Jon. I'll take them to lunch, try to work it out. But another great quarter, and congrats to the team.
Operator: Thank you. Ladies and gentlemen, this will conclude our teleconference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.